Operator: Good morning. My name is Andrew, and I will be your conference operator today. I’d like to welcome everyone to the ADENTRA Third Quarter 2024 Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks there will be a question-and-answer session. [Operator Instructions] With me on the call are Rob Brown, ADENTRA’s President and CEO; and Faiz Karmally, Vice President and CFO. ADENTRA’s Q3 2024 earnings release, financial statements, MD&A and other quarterly filings are available on the Investor section of our website at adentragroup.com. These statements have also been filed on ADENTRA’s profile on SEDAR+ at sedarplus.ca. I want to remind listeners that management’s comments during this call may include forward-looking statements. These statements involve various known and unknown risks and uncertainties and are based on management’s current expectations and beliefs which may prove to be incorrect. Actual results could differ materially from those described in these forward-looking statements. Please refer to the text in ADENTRA’s earnings press release and financial filings for a discussion of the risks and uncertainties associated with these forward-looking statements. All dollar figures referred to today are in U.S. dollars unless stated otherwise. I would now like to turn the call over to Rob Brown.
Rob Brown: Good morning, everyone, and welcome to our third quarter earnings call. Thank you for joining us today. We are pleased to report that our disciplined approach to executing our business strategy has delivered solid results this quarter. Before we begin, please note that all figures mentioned today are in U.S. dollars unless otherwise indicated. Despite slower activity in some end markets, we achieved solid third quarter results by remaining aligned with our strategic priorities. Consolidated sales rose by 1.8% to $568.8 million, with the recent acquisition of Woolf Distributing contributing $31.4 million and helping to offset a 3.7% decline in organic sales. Organic sales volumes in the third quarter experienced a modest 1% year-over-year decrease, reflecting softer demand conditions. However, we were encouraged by a shift in product pricing trends. The prolonged price deflation of the past two years began to ease this quarter, with a year-over-year decline of 3%, the smallest rate of deflation experienced in the last five quarters. We also achieved a slight increase in average product prices compared to Q2 2024. As a reminder, we acquired Woolf for $130 million on July 29th, expanding our geographic reach and product offering with complementary millwork locations in the Midwest, branded outdoor living products and enhanced access to the attractive Pro Dealer channel. This acquisition positions us well to meet demand in the new residential and repair and remodel markets, contributing approximately $164 million in annual run rate sales. Woolf’s addition also brings us closer to our Destination 2028 goals of achieving $3.5 billion in annual run rate revenue, a 10% adjusted EBITDA margin, and a 12% return on invested capital. Turning to profitability, we achieved a strong gross margin of 21.3%, a testament to our strategic initiatives aimed at building a resilient and more profitable business. Key drivers of this margin improvement include; the acquisition of higher gross margin businesses; a focus on growing our sales of higher margin ready-to-install products, both through organic efforts and M&A; the benefits of our global sourcing program; and strategic asset management and pricing driven by data analytics and digital tools. Operating expenses remain stable on an organic basis, reflecting our consistent focus on cost control. However, additional expenses from Woolf and softer sales reduced our operating leverage, leading to a 7.2% year-over-year decrease in adjusted EBITDA to $48 million in Q3. We saw strong cash conversion this quarter, with approximately 80% of adjusted EBITDA converting to operating cash flow before changes in working capital. This cash generation enabled us to end the quarter with a leverage ratio of 2.5 times, comfortably within our target range. Looking ahead, we expect solid cash flow generation in the fourth quarter, allowing for continued debt repayment and positioning us to pursue further acquisition opportunities from our robust M&A pipeline. Additionally, we increased our quarterly dividend to $0.15 per share, effective for the next dividend date on January 31, 2025. With that, I’ll turn the call over to Faiz for a closer look at our Q3 financial results. Faiz?
Faiz Karmally: Thanks, Rob, and good morning, everyone. Please note that comparisons used are to the same period in the prior year and a reminder that figures discussed are in U.S. dollars unless otherwise stated. For the quarter ended September 30, total sales rose by $10.1 million to $568.8 million, primarily driven by our acquisition of Woolf, which contributed $31.4 million. This helped offset a $20.5 million or a 3.7% decline in organic sales, reflecting a 3% decrease in product prices and a 1% volume decrease. In the U.S., sales grew by $8.4 million to $524.9 million, driven by Woolf’s contribution, despite a 3% decrease in product prices and a 2% decrease in volume. In Canada, sales increased by C$3.3 million to C$59.9 million, supported by a 10% volume increase, partly offset by a 4% decrease in product prices. Gross profit for the quarter was $121.4 million, up $3.1 million or 2.6% from Q3 2023, with a gross margin percentage of 21.3%, reflecting the positive impact of our strategic initiatives, which Rob touched on earlier in the call. Operating expenses were reduced to $96.7 million, a $4.2 million or 4.1% decrease, largely due to the non-recurrence of $15.5 million in accrued trade duties from the prior year. This was partially offset by costs related to Woolf’s acquisition, integration and inflationary adjustments in compensation and benefits. Adjusted EBITDA for the quarter was $48 million, down 7.2% from $51.8 million in Q3 2023, primarily due to increased operating expenses, which were partly offset by higher gross profit. Our cash flow performance highlights the strength of our business model. In Q3, we converted $48 million in adjusted EBITDA into $38.6 million of operating cash flow before changes in working capital, an 80% conversion rate. Additionally, working capital reductions generated another $27.4 million. This strong cash generation helped to fund the Woolf acquisition, while keeping our balance sheet solid. We closed the quarter with a pro forma leverage ratio of 2.5 times and over $400 million of availability on our revolving credit facility. Our capital priorities remain prudent balance sheet management, growth through acquisitions and organic investments, and shareholder returns through dividends. Overall, our results reflect strong progress against our strategic priorities, with recent acquisitions and disciplined cost management helping us to achieve consistent results despite the softer market conditions experienced during Q3. With that, I’ll turn it back to you, Rob. Rob?
Rob Brown: Thanks very much, Faiz. In closing, affordability pressures stemming from the cumulative impact of consumer price inflation in the broader economy and the slower than anticipated pace of Central Bank interest rate reductions will impact Q4 2024 as compared to Q4 2023. We anticipate that these headwinds will be offset by strong operational execution and the inclusion of Woolf, resulting in fourth quarter adjusted EBITDA aligning closely with Q4 2023 levels. Despite these challenges, our 2024 performance has been resilient. Year-to-date, we’ve achieved stable sales volumes, improved our gross margin by 110 basis points to 21.7%, and maintained consistent adjusted EBITDA and EPS compared to 2023. These results highlight the resilience of our business model and underscore our competitive advantage. Our size, scale and operational expertise set us apart, allowing us to implement impactful strategies that smaller competitors find challenging to replicate. Key initiatives include; our global sourcing programs; focus on high-value installation-ready products; and advanced data analytics that enhance asset management and pricing discipline. These are central to our Destination 2028 goals, and we’re on track to add $800 million in run rate revenue through acquisitions and achieve a 10% plus EBITDA margin and 12% plus ROIC. Our recent Woolf acquisition advances these targets, contributing immediate benefits and positioning us for sustained growth. Looking ahead, we are optimistic. Forecasts point to improving building market conditions in the second half of 2025 and beyond, supported by expected interest rate reductions and strong fundamentals such as the housing under supply, favorable demographics and an aging housing stock. We’re confident in our multiyear growth outlook across core markets in repair, remodel, residential and commercial sectors, and we’re well-positioned to capitalize on these opportunities. That concludes our prepared remarks, so at this time, I’ll turn the call over to the Operator to open the lines for Q&A. Operator?
Operator: Thank you. [Operator Instructions] Your first question is from Hamir Patel from CIBC Capital Markets. Please go ahead.
Hamir Patel: Yeah. Hi. Good morning. Rob, the 2% decline in U.S. organic volumes in the quarter, is there any notable differences between end markets, just thinking between new res, R&, and commercial?
Rob Brown: Nothing I would call out, Hamir, except perhaps to just mention it’s not in the MD&A because it wasn’t material to call out in that way, but hurricane impacts in Florida obviously impacted our home center business for a period of time in the quarter and we saw some of our Pro Dealer channel partners experience some downtime as well. But past that, I wouldn’t call out, a great big difference between the customer channels.
Hamir Patel: Okay. Thanks, Rob. That’s helpful. And just thinking about your comment about pricing picking up sequentially, is that sort of broad-based or is certain product categories?
Rob Brown: There are some puts and takes in there and if you went across the 12 major product categories, you’d see that. But I would say it’s generally a trend across the group. There’s always an outlier or two, but I wouldn’t describe it as one specific product category leading the way and others struggling in behind. It’s more of a broad-based phenomenon.
Hamir Patel: Okay. Fair enough. Thanks. That’s all I had. I’ll turn it over.
Rob Brown: Thanks, Hamir.
Operator: Your next question is from Zachary Evershed from National Bank Financial. Please go ahead.
Zachary Evershed: Good morning. Congrats on the quarter.
Rob Brown: Hi, Zach. Good morning.
Zachary Evershed: So, we thought that Woolf’s contribution was a little bit higher than a straight-line assumption of annual sales. Is that typical seasonality or is the business running better than $164 million in annual sales?
Rob Brown: Yeah. So, thanks for the question. Woolf is running at or a little bit better than expectation when we bought it. But you’re right, there is some seasonality in there. So, you are to be cautious about straight-lining the two months of results that were included in the MDA.
Zachary Evershed: Good call. Thanks. And then Canada was quite strong on the volume side. What’s driving that in specific and any read-throughs to the U.S. there?
Faiz Karmally: Hey, Zach. Good morning. It’s Faiz here. I can take that. On the latter question, no read-throughs on the U.S. As you know, our business is quite regional. Dynamics in Canada are not necessarily going to impact dynamics in our U.S. markets. So, that’s not the case here. I would say in Canada -- I wouldn’t call it one specific thing. We’ve got, I would say, a very strong business in Canada, particularly on the West Coast and in Ontario and those are just bigger markets in Canada. I would also note that just given the size of the Canadian business relative to the overall business, we are talking -- you can have a couple of key accounts really help you out on the Canadian side, just given the size we’re talking about. So, I’d maybe call that out, but I wouldn’t call it one specific thing and I wouldn’t read through too much from Canada to the U.S. on that. Canada had a good quarter.
Zachary Evershed: Fair enough. Thanks. And then I’ll sneak in a third here. Can you refresh us on what proportion of your products are imported into the U.S. and what’s your game plan if tariffs are enacted?
Rob Brown: Sure. So, you can think about our global sourcing as being about a third of the products that we sell come from outside of North America. Like you, I saw the Republican trifecta of how Senate, White House seems to have been confirmed yesterday. I’ll speak to the tariffs, but maybe it’s just worth discussing our overall view of environment. I would say overall, probably more positives than negatives, but there’s a mixed environment to consider. So, I think we’re going to see a more positive growth agenda in the U.S. with the policies that seem to be forthcoming, including low energy policies to drive the economy. That’s a positive. Also, an agenda of reduced regulation overall, which may also benefit housing creation, and we view that as a positive. Immigration is a question mark. If there is a significant deportation of undocumented workers in the U.S., that could create some wage pressure and labor availability issues that could extend build times. But we’ll see how that one unfolds. As it relates to your specific question on tariffs, I think what you’ll see there is that’s really a China-driven tariff policy. In particular, we’re not doing any products from China to the U.S. That’s already prohibitive from a trade perspective with existing duties. So, that really -- we don’t see that impacting us at all. If there are tariffs that go in more broadly against other countries, they’re going to be more modest, and we view that as a price pass-through situation, which is actually helpful for our gross profit dollars selling more expensive goods. But on the flip side, that raises concerns about affordability and housing, and that could have an impact on demand. So, we view that as a little bit of a mixed bag on the tariffs front. The one that’s probably clearest is if there are corporate tax changes in the way they’ve been prescribed, that would be a significantly lower tax burden for our company given we’re a 93 -- 90% plus U.S.-based earnings business. That would be very helpful to EPS and cash flows and things of that nature.
Zachary Evershed: Great color. Thank you very much. I’ll re-queue.
Operator: Your next question is from Ian Gillies from Stifel. Please go ahead.
Ian Gillies: Good morning, everyone.
Rob Brown: Hi.
Ian Gillies: Just piecing together some of the outlook points and some of the prepared remarks, do you think it takes until the middle part of 2025 to start lapping some positive organic growth again, just given some of the changes in the market over the last little while?
Rob Brown: Yeah. No. It’s a good question. And I think we saw interest rate reductions in 2024 were at a pace that we’re probably not anticipating going into 2024. At least now we’re on a path and we see rates coming down. I think building products participants are generally pointing to the second half of 2025 being more of the pickup period, just reflecting taking time for lower interest rates to wind its way through the demand side of the economy. So I think that’s where we would be at, but in the meantime, we’ve got our business strategies that we’re comfortable executing against while we do wait for slightly better demand conditions to emerge.
Ian Gillies: Understood. That’s helpful. And the other thing in the quarter, the inventory impairments as a percentage of revenue were a bit higher. I want to be cautious around reading too much into any one quarter, but are you seeing more issues than you have in previous quarters on longer-dated inventory or was that just really one-time and idiosyncratic?
Faiz Karmally: Yeah. It’s more the latter. There’s no pattern there. Ian, they were a little higher this quarter than the previous couple of quarters, but the previous couple of quarters were also a little bit lower. As you know, these things can ebb and flow a little as you move through the year. When I look at our inventory write-offs year-to-date at about $5 million, that kind of average, right, of $1.5 million to $2 million a quarter is right where we’ve traditionally been. So I think on the year-to-date, we’re where we need to be. I wouldn’t call it any one thing in the quarter. As I mentioned, it’s more just quarter-to-quarter where we’re taking views of our inventory, but on a year-to-date basis, we’re where we need to be on that.
Ian Gillies: That’s helpful. And maybe last one for me. With the federal election in the U.S. now done, does that -- do you have any vendors suggesting that they want to see that get passed before they move forward on M&A, i.e., do you think this kind of greases the skids a little bit for more to occur over the next 12 months, acknowledging that you just did something in August?
Rob Brown: We did do something in August. That was quite a bit of work in a good chunk. So thanks for acknowledging that. I’m not sure that it changes the mentality per se of the many, many sellers that we’ve got in the pipeline. Regardless of market condition, we’re always having good conversations and we feel good about the pipeline today. I don’t think the election per se was holding people back. I think that lowering interest rates is probably the most helpful thing.
Ian Gillies: Understood. I’ll leave it there and turn the call back over. Thanks very much for your time.
Rob Brown: Yeah. You bet. Thanks, Ian.
Operator: Your next question is from Jeff Fenwick from Cormark Securities. Please go ahead.
Jeff Fenwick: Hi. Good morning, everyone. I was maybe just hoping for a bit of color on the gross margin front. I mean, it’s continued to trend nicely above your sort of stated level there of 20% plus, but it has kind of slightly eroded, I guess, over the last three quarters. I’m just curious if there’s some dynamics in play, maybe just some mix shifts or other things that are going on in the background there that would influence that?
Rob Brown: No. Not really. I mean, it’s within a range. As you pointed out, it’s well above our Destination 2028 goals, but we’ve been comfortably in the 21s. There’s always a little bit of a tradeoff as between gross margin rate and sales velocity. So we think we’re finding the right balance point. At this time, you saw volumes year-over-year were roughly flat and they are on a year-to-date basis. So we’re really looking forward to what I described in my prepared comments more, which is the price deflation that we’ve seen that’s been very persistent for really two years. That story looks like it’s coming to an end and that presents new opportunities around gross margin management.
Jeff Fenwick: Okay. Perfect. That’s all I had. Thank you.
Operator: [Operator Instructions] There are no further questions at this time. Please proceed with closing remarks.
Rob Brown: Very good. We appreciate everybody’s attendance on the call today. Faiz and I are always available for follow-up questions, so please do reach out and thank you, Andrew, for hosting the call today.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.